Operator: Hello, and welcome to the Universal Technical Institute's Third Quarter 2017 Conference Call. [Operator Instructions] At this time, all participants are in listen-only mode, and after today's prepared remarks, we'll open the lines for questions. As a reminder, today's conference call is being recorded. A replay of the call will be available for 60 days at www.uti.edu or through August 15th, 2017 by dialing 412-317-0088, or 877-344-7529, and entering pass code 10110803. At this time, I'd like to turn the conference over to Ms. Jody Kent, Vice President of Communications and Public Affairs for Universal Technical Institute. Please go ahead.
Jody Kent: Hello and thank you for joining us. With me today are Kim McWaters, Chairman and CEO; and Bryce Peterson, Chief Financial Officer. During the call today, we'll update you on our fiscal third quarter business highlights, our financial results, and our vision for the future. Then we will open the call for your questions. Before we begin, we must remind everyone that, except for historical information, today's call may contain forward-looking statements as defined by Section 21E of the Securities Exchange Act of 1934 and Section 27A of the amended Securities Act of 1933. I'll refer you to today's news release for UTI's comments on that topic. The Safe Harbor statement in the release also applies to everything discussed during this conference call, including initial comments by management as well as answers to questions. During today's call, we'll refer to EBITDA, which is a non-GAAP measure representing net income exclusive of interest, income tax, and depreciation, and amortization. The schedule provided in the earnings release reconciles EBITDA to the nearest corresponding GAAP measure, net income or loss. Now, I'd like to turn the call over to Kim McWaters, our Chairman and Chief Executive Officer.
Kim McWaters: Thank you, Jody. Good afternoon everyone, and thank you for joining us today. Since we last spoke on our Q2 earnings call, in May, I'm pleased to share that we have made meaningful progress on our initiatives to drive new student start growth to optimize our business in light of continued macroeconomic and regulatory challenges, and to maintain a streamlined cost structure. In the third quarter, student starts grew 12.5% year-over-year driven by increases in both the adult and high school segments. Our show rate improved 180 basis points over the prior year quarter due to the successful implementation of our show rate initiatives, and the initial rollout of our institutional grant program. Earlier this year, we introduced a series of initiatives to drive new student start growth and to increase our show rates. We have been working to improve our recruitment processes to increase our visibility with potential students, and to leverage our industry partnerships to demonstrate to prospective students what is possible with training from UTI. In January, we began hosting a number of open houses at our campuses. These events included campus tours, scholarship competitions, financial aid workshops, OEM partner discussions, and UTI graduate testimonials. Thus far, we are seeing very positive results from these initiatives. Overall, we are reaffirming our commitment to grow student starts in the second half of fiscal 2017. In support of our long-term goal to increase enrollment, and to achieve profitable growth, we continue to move forward with our smaller campus strategy. Our Dallas and Long Beach campuses demonstrate the effectiveness of this model where we establish smaller campuses in commuter-friendly locations that better serve students with a blended learning curriculum that provides them greater flexibility with class and work schedules, and reduces their overall cost of education by enabling them to live at home rather than having to relocate to attend another campus. As demonstrated by both Dallas and Long Beach, we expect our future smaller campuses to be accretive to earnings within the first 18 months of operation, and to be cash flow breakeven by year four. We are on track with our plan to open our next smaller campus in the late summer or fall of 2018. Historically, we have targeted opening these campuses in this timeframe as it allows for a full year of high school recruitment efforts and marketing initiatives to support a strong inaugural class of students. We are in negotiations with multiple parties on potential campus locations in Northeast United States, and we look forward to announcing our new location in the very near future. To further differentiate UTI and capture market share we are continuing to build out our course offerings. Our welding and CNC machining technology programs enable us to attract new students, and optimize our excess capacity. In July, we held the official ribbon-cutting ceremony commemorating the launch of our CNC machining technology program developed in partnership with Roush Yates Engines for our NASCAR Tech campus in Mooresville, North Carolina. We also announced Mitsubishi Materials will provide tools and products for students enrolled in this program, giving them the opportunity to train with the latest industry tools. This program teaches students the skills to start careers in this high-demand industry. There are approximately 150,000 CNC technicians employed today, with more than 7,000 new entrants required each year. Our first class is set to begin August 14th. And when fully ramped, this location will support an average of 100 to 140 students. We opened our first welding technology program at our Rancho Cucamonga, California campus, on July 3rd, at full capacity. Like our CNC machining program, welding complements our core competencies in technical training, serves a similar but slightly different student population, and addresses strong market demand. According to the U.S. Bureau of Labor Statistics, between 2014 and 2024, the industry will need to fill more than 128,000 new and replacement positions for welders. We plan to open an additional location in early 2018, but are not disclosing the specific location at this time for competitive purposes. We continue to benefit from our more than 30 industry partners and key employer relationships as they provide important brand recognition in our recruiting and marketing efforts and delivery significant value to our students. In fact, the manufacturer-specific advanced training programs we offer, some of which are exclusive to UTI, provides students with some of the industry's most comprehensive training, and the opportunity to earn valuable industry certifications and credentials before starting their careers. Our partners and employers also benefit from our relationships as they gain access to a pool of skilled technicians which saves them valuable time and money in their recruitment and training process. In June, the Mercedes-Benz DRIVE program opened its fourth UTI training location on-site in Grapevine, Texas. In total, approximately 4,000 students have graduated from the programs we operate for Mercedes-Benz. In July, Porsche opened the third location of its Technology Apprenticeship Program in Eastvale, California. To date, nearly 600 students have graduated from this UTI-exclusive program. We're also strengthening our relationships with Daimler Trucks of North America by adding Detroit Diesel engines into our Freightliner First program. Detroit Diesel, which is owned by Daimler Trucks of North America, is the second largest diesel company in terms of market share behind Cummins. Our student are thrilled that Detroit Diesel engines is now included as part of our OEM-sponsored Freightliner First program. We have been offering the new courses in Avondale for several months now, and enrollment remains strong. We're preparing to launch this program at our Lisle, Illinois campus in early 2018. We received state-level associate degree granting approval at our Rancho Cucamonga and Sacramento campuses earlier this year. This reinforces the quality of UTI's education, and is an attractive attribute for students and parents alike. We're currently awaiting approval for our Dallas campus, and are planning to expand degree granting to our Long Beach and Orlando campuses this year. Okay, switching gears here. Let's talk for a moment about what we're doing to better understand pricing elasticity, and the efforts underway to help students pay for their education. During the third quarter, we introduced our need-based institutional grant initiative. While this initiative is still in its early stages, initial results have been promising as indicated by significantly improved show rates and reengagement from previously cancelled students. We will continue to modify the program to find the right balance between the costs of the grants with the contributions from increased enrollment. As we mentioned in May, our Rancho Cucamonga and Long Beach campuses are now Cal Grant eligible. This enables students to access up to approximately $3,000 per year in grant money to lower their tuition costs. On our last call we also discussed an important congressional revision to the Pell Grant Program. The year-round Pell Program went into effect, July 1st, and provides up to 150% of annual Pell awards to eligible students who attend school year round. This is especially -- this especially benefits our student population as nearly 70% of our students are Pell eligible and all of our students attend full time and on a continuous basis. With up to an additional 3,000 in Pell grant money, the year around Pell program provides additional debt relief to our students as they strive to complete school on time and begin their new careers. We continue to promote our tuition reimbursement incentive program, our employers benefit from these programs as they can attract some of the best of UTI's graduates, while students receive multiple benefits including tuition reimbursement, signing bonuses, relocation packages, new tools and other incentives. As an example in the third quarter, another of our large employers introduced a new program for our diesel graduate, they are offering tuition reimbursement of up to 10,000 over 36 months, 5,000 relocation grants and an $8000 toolbox. In addition to these benefits, they're also offering a very competitive starting wage, programs such as this continue to demonstrate the value and potential ROI of UTI education and will help students effectively pay down and in some cases pay off their student loans. On a marketing front, over the course of the last few quarters, we've been updating you on our efforts to optimize our marketing mix to ensure we generate quality increase at a reasonable cost. During the third quarter, we further modified our efforts in this regard to carefully scrutinizing the returns we are receiving from our advertising initiatives eliminating less effective endeavors while better balancing our advertising between digital and traditional forms of advertising and in both national and local markets. As a result, we are seeing improved conversion rates with our admissions team, we will continue to identify and refocus our investments and efforts on higher ROI opportunities and before I turn the call over to Bryce, I just wanted to take a moment to congratulate our team on their hard work and dedication to our students. In July, we announced our Dallas, Texas and Exton, Pennsylvania campuses were recognized as 2017 schools of excellence by the Accrediting Commission of Career Schools and Colleges also known as ACCSC. Out of the 650 institutions accredited by ACCSE, only 15 schools received this honor this year and we are proud that we are in two of those titles. Furthermore, this recognition underscores our commitment to offering quality programs to our students. And with that, I'll turn the call over to you Bryce for a review of our financials.
Bryce Peterson: Thanks, Kim. I'll start with a review of our business metrics and then discuss our financial results for the third quarter. Total starts were 1800 compared to 1600 in Q3 of last year, our average student enrollment for the third quarter was 10,000 compared to 11,100 last year. On a year-to-date basis, average student enrolment was 10,900 compared to 12,200 for the prior year period. At the end of the third quarter about 40% of the students in school were benefiting from UTI scholarship or discount as compared to about 35% in the third quarter of 2016, these scholarships and discounts reduced tuition revenue by 3.8% this year compared to 3.6% in the third quarter of last year. For the third quarter of fiscal 2017 compared to the same quarter last year, revenue was $76.3 million excluding $4 million in tuition revenue related to students participating in our proprietary loan program which will be recognized as revenue and the payments are received, this compares to $82.3 million in revenue for the third quarter of 2016, which excluded $4.2 million in tuition related revenue. The year-over-year revenue variance was attributable to a 9.9% decrease in our average student population, total operating expenses were $79 million compared to $87.7 million for the prior year period, the $8.7 million improvement was largely due to lower compensation expense and improved operating efficiencies pursuant to the implementation of the financial improvement plan. Advertising expense was $9.3 million for the third quarter compared to $8.7 million for the prior year period, the $0.6 million increase is due to a year-over-year increase in spending on digital sources and local television advertising to align with our strategy. Operating loss was $2.8 million compared to an operating loss of $5.5 million for the prior year period, the improvement reflects the significant cost reductions previously mentioned and $1.1 million in incremental operating income from the Long Beach campus which opened in August 2015, to put this improvement into perspective even with year-over-year revenue is down $6 million in the quarter, we were able to reduce our operating loss by $2.7 million over the same timeframe, we also recorded a preferred stock cash dividend of $1.3 million in the third quarter which was related to our $70 million capital raise in June of 2016, net loss for the quarter was $3.9 million compared to a net loss of $5.1 million for the prior year period. Please note we recorded income tax expense of $0.9 million and Income Tax Benefit of $1.1 million during the third quarters of fiscal year 2017 and 2016 respectively due to a valuation allowance on our deferred tax asset. Net loss available for distribution to common shareholders was $5.2 million or $0.21 per diluted share for both the quarter and the prior year period. EBITDA which excludes interest income tax depreciation and amortization reached $2.1 million in the third quarter of 2017 compared to a loss of $0.6 million for the prior year period. For the nine months ended June 30, 2017 compared to the same period in 2016, we recorded revenues of $242.9 million compared to $260.2 million which excluded $13.4 million and $14.5 million respectively of tuition related to students participating in the proprietary long program, the decrease in revenue was attributable to a 10.7% decline in average student population. In addition there was one less earning day in the first half of 2016 which impacted comparable revenue by $1.3 million. Year-to-date operating expenses were $243.6 million compared to $273.6 million for the prior year period. Operating loss was $0.7 million compared to an operating loss of $13.4 million for the same period in 2016. Net loss was $7.4 million or $0.46 per diluted share compared to $38.8 million or a $1.60 per diluted share for the prior year period. EBITDA was $14.1 million compared to $1.7 million for the same period of 2016. From a liquidity perspective, we had cash, cash equivalents and investments of roughly $84.5 million at June 30, 2017 compared to $120.7 million at September 30, 2016. This decrease in cash was primarily attributable to collateral requirements for surety bonds renewed during the quarter and changes in working capital. We continue to believe that we have implemented initiatives to drive annualized cost savings at the higher end of between $30 million and $40 million, the timing of the savings will vary from quarter-to-quarter. This includes reduced compensation and benefits expense from a 27% reduction in our corporate staff and campus support teams. The move to graduate based compensation for our admissions team which takes a portion of our compensation expense from fixed variable ongoing process improvements on a more cost efficient marketing and public relations plan, this work combined with the capital investment we secured last June enables us to continue investing in the business and remain compliant with our regulators and our accreditor. Many of our investors have requested updates pertaining to our footprint rationalization efforts and I'd now like to provide an update on our progress. As Kim mentioned earlier, our new welding program opened in July 2017 and will better utilize capacity at our Rancho Cucamonga campus, our new CMC Program will open later this month and will better utilize capacity at our Morrisville, North Carolina campus. We have also received the required approvals to open our new welding program at another campus in early calendar 2018 which will better utilize the existing capacity at that location, we are currently vacating two smaller leased properties in Arizona and Texas which will eliminate the associated rent expenses in 2018 and beyond after those leases expire. In addition to sub-leasing, a portion of our corporate offices earlier this year, we are currently evaluating or negotiating several subleasing opportunities at multiple locations, and we'll share those details with you when the negotiations are finalized. We remain focused on evaluating all opportunities to further optimize our real estate square footage, and take advantage of cost saving opportunities where we see them. Now, turning to our outlook for fiscal 2017, we now expect new student starts to decline by mid-to-single high digits in 2017. While we remain confident in our grow student starts in the second half of the year, we expect majority of this growth will have been reflected in the third quarter, and our fourth quarter will range from slightly up to slightly down. Combined with the number of students currently in school and the timing of the anticipated start growth, our average student population for the year is projected to be down in the low double digits as a percentage compared to the prior year period. We continue to expect revenue to be down in the mid-to-high single digits in fiscal 2017. As previously mentioned, we expect our financial improvement plan to deliver at the higher end of between $30 million and $40 million in annualized cost savings. We expect operating results for fiscal 2017 to range between operating income of $1 million and an operating loss of $1 million. We're testing price elasticity for institutional grants, and continue to focus on investments in success-based marketing, and show rate improvement. Each of these three factors could positively or negatively impact year-end operating income. We continue to expect significantly improved EBITDA for fiscal 2017, as compared to the prior year. We now expect capital expenditures to be approximately $10.5 million to $11.5 million for this year due to investments in our second welding program, and internally develop software to support marketing. With that, I'll turn it back over to Kim for a few final thoughts.
Kim McWaters: Thank you, Bryce. Over the last several quarters, we have been providing you with updates on our strategies to drive new student start growth, expand our course offerings, open additional smaller campuses, optimize our marketing mix, and maintain a prudent cost structure. While we are encouraged by the new student start growth recorded in Q3, we know how much hard work remains. We believe our strategic priorities and the dedicated and passionate team at UTI position us well to persevere through the macroeconomic and regulatory headwinds to execute on our growth goals, and to support a path to profitable future. Operator, we're now ready for the Q&A.
Operator: All right. We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Barry Lucas with Gabelli & Company. Please go ahead.
Barry Lucas: Thank you, and good afternoon.
Kim McWaters: Good afternoon.
Barry Lucas: Kim or Bryce, I was hoping maybe you could dive down a little bit and see what is driving the improvement in show rate? I know you mentioned the show rate initiative, but where are you getting the juice on the improvement?
Kim McWaters: I think it is attributable to both of the show rate initiative and the institutional grants, as you just mentioned. The institutional grants impacted about a third of our starts during the quarter, and for that population, and in the campuses offering grants to these students we did see significant improvement in our show rate. With the initiative that we spoke about earlier and on previous calls, this is really focused on ensuring that we are helping our students through all phases of the educational cycle. And to ensure that they understand what is necessary to accomplish the major milestones in preparation for starting school. It is a cross-functional effort across multiple departments to ensure that nothing or no one is falling through the cracks. With the high level of accountability across all teams responsible for our students' success. So I think those two are the key drivers for the success that we saw inside of the last quarter.
Barry Lucas: Okay. And just two other, in your mind or explaining to students, what do you think the difference is between a reduction in tuition versus a grant that effectively reduces the cost?
Kim McWaters: Well, I think, this grant program we talked about, we were testing for a number of different variables. One, in terms of the word scholarship and the qualifications necessary to earn that, the other, in terms of grant that is largely based on need in which the students are just eligible. And then the third that we have considered is where we should be pricing our tuitions and, again, talking about pricing elasticity, we are testing that. One thing that I think we've been very focused on is making certain that we are targeting those students who benefit from this sort of help, whether it's scholarship or institutional grants, versus broad-based tuition reductions, because there are a number of students who do see the return on investment and are capable and willing to pay the tuition that is asked for our core programs and MSAT programs. In addition, we are testing variations of program length with our new products that we're offering that are roughly six months in length compared to some of our programs that may be a year-and-a-half. And so we have a lot of things that we're testing, but we're not inclined at this point in time to make broad-brushed or across-the-board reductions to our retail price, if you will.
Barry Lucas: Okay. Last one for me, and I know that there are competitive issues here, but what do you think is working better in the media mix that's also helping to provide the -- that appears to be providing a bit of a lift?
Kim McWaters: I think there are a couple of things. One is when I mentioned the traditional forms. I think we moved too far into the digital realm, and just thinking that our generation of students would naturally be in that environment. And yet, some of the basic, the most traditional forms, direct mail, television, very basic contact strategy is working, and so moving more of our investment back into the traditional forms, direct mail, television. And from a television standpoint I'll say national cable and local marketing we believe is driving a lift. And we can see that based on conversion rates with our campus admissions team. So we pulled out a lot of the social media type advertising forms. And I think previous calls we've talked about lead aggregators, we've reduced that significantly, again with those resources reallocated into more traditional forms of advertising.
Barry Lucas: Great. Thanks for that, Kim.
Kim McWaters: You're welcome.
Operator: [Operator Instructions] At this time there are no more questions in the queue. I'd like to turn the conference back over to Kim McWaters for any closing remarks. Sorry, Kim. We have another question from Jeffrey Matthews, Ram Partners. Please go ahead.
Kim McWaters: Okay.
Operator: Please go ahead.
Jeffrey Matthews: Hi. Thanks very much. Can you hear me?
Kim McWaters: Yes.
Jeffrey Matthews: Great. Just curious, we're six months into a new administration, a new education secretary, a stronger economy, lower unemployment -- kind of record low unemployment. What do you see out there today versus, say, six, nine months ago as far as the environment you're operating in? And is there some wind at your back now or is the wind still coming at you?
Bryce Peterson: That's a great question. I think it's a mixed bag. When you look at the regulatory environment, your mention of the new administration, we're certainly encouraged by DeVos and her commitment to student choice, and making sure that many options are available for students to be able to get the skills they need for a good-paying job. We're also encouraged by the administration's decision to delay enforcement of the defense to repayment and in certain aspects of the gainful employment rules. We're certainly not against regulation, but we fully support and believe that the regulations ought to apply to all schools, so the top schools are rewarded and recognized and the lower performing schools are weeded out. So those are certainly things that we're encouraged by. As you all know, strong employment is something that creates a challenge for us as we're looking recruit students. But at the same time, the incredible employment demand from our employers and their willingness to step up and help with affordability and to help students feel comfortable about the great future that lies ahead of them, that becomes a great benefit for us. So, again, we're really encouraged by the industry employers stepping up and really making a big splash as far as making great offers to our students, both in the form of wages as well as incentives, and encouraged by some of the regulatory changes.
Kim McWaters: If I could add one thing on to what Bryce said relative to our high school market. I think we are seeing the national sentiment begin to change. And the national or public comments that are being made, that college is not for all, is very encouraging. I think people are taking a serious look at the skills gap that this country faces, and the need to develop a workforce that best serves a country, and its changing workforce. And to the point that Bryce just made, what has been very encouraging here is that employers are partnering with our representatives in the high school market, not only showing up to the campus events that I mentioned earlier in the prepared remarks, but opening their place of employment for prospective students, and their families, and teachers to attend our Future Tech event, as well as participating in field trips to listen first-hand to employers, their technicians, many of whom are UTI graduates, speak about the opportunity to work in the transportation industry. So I am encouraged by the progress that we're seeing there, and the way that we have been able to innovate around reaching the high school student population in light of some of the state restrictions limiting access to high school students.
Jeffrey Matthews: Okay, thanks. That's very, very helpful. And if I could just ask one follow-up, I wondered if you've seen any change in the competitive landscape of note, either getting tougher or not?
Kim McWaters: I think when you look at direct competitors it's been relatively stable. Certainly community colleges are a strong competitive force, and we do fight that sort of "College for all" mentality when students, parents, teachers, and counselors are considering whether or not to pursue a community college and/or a UTI education. So I think over the past several years we've seen community colleges increase their advertising and marketing efforts, and in fact have taken market share over the last couple of years. But I think our tools that are directly comparing outcomes in terms of graduation rates and the return on investment as provided by the college scorecard using the government's own data puts us in a very strong position relative to direct competitor as well as community college. I think our biggest competitor right now is the workforce itself. And that is why it's so important for us to get employers out in front of prospective students so that they can see the long-term opportunity and the really short investment required to get a UTI education, and the benefits working for them will bring to them.
Jeffrey Matthews: Okay, thanks for that. I appreciate it. Good luck.
Kim McWaters: Thank you.
Bryce Peterson: Thank you.
Operator: [Operator Instructions] At this time, there are no more questions in the queue. So I would like to turn the conference back over to Kim McWaters for any closing remarks.
Kim McWaters: Thank you very much, and thank you all for joining our third quarter update. We look forward to updating you later this fall on our fourth quarter and full-year results. Have a great evening.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.